Operator: Good morning, ladies and gentlemen, and welcome to today's Pyxus International Fiscal Year 2025 Fourth Quarter and Year-End Conference Call. [Operator Instructions]. As a reminder, this call is being recorded. I would now like to introduce your host for today's call, Mr. Tomas Grigera. Mr. Grigera, you may begin.
Tomas Grigera: Thank you, operator. With me today is Pieter Sikkel, our President and CEO; and Dustin Styons, our Interim CFO and Executive Vice President of Business Strategy and Sales. Before we begin discussing [Audio Gap] or intention as well as those that are not historical fact. These statements are forward-looking and involve a number of risks and uncertainties that may cause actual events and results to differ materially from these forward- looking statements. These risks and uncertainties are described in detail, along with other risks and uncertainties in our filings with the SEC including our most recent Form 10-K. We do not undertake to update any forward-looking statements made on this conference call to reflect any change in management's expectations or any change in assumptions or circumstances on which these statements are based. Included in our call today may be a discussion of non-GAAP financial measurements, including earnings before interest, taxes, depreciation and amortization, commonly referred to as EBITDA as well as adjusted EBITDA and adjusted free cash flow, that are not measures of results of operations under generally accepted accounting principles in the United States and should not be considered as an alternative to U.S. GAAP measurements. A table, including a reconciliation of and other disclosures regarding these historical non-GAAP financial measures is available on our website at www.pyxus.com. Any replay, rebroadcast, transcript or other reproduction of this conference call, other than the replay as provided by Pyxus International, has not been authorized and is strictly prohibited. Investors should be aware that any unauthorized reproduction of this conference call may not be an accurate reflection of its contents. Now I'll hand the call over to Pieter.
J. Pieter Sikkel: Good morning, everyone, and thank you for joining our call today. Fiscal year 2025 was an exemplary year for Pyxus, evidenced by our consistent delivery of strong financial and operational performance. At this time last year, many global agricultural companies, including Pyxus, were facing the potential risk associated with an El Nino weather event. In this highly dynamic market, we continue to build on the growth and improvement of the prior 2 fiscal years. I am pleased to say we successfully navigated one of the more complex market environments in recent history. Our disciplined execution and sustained customer demand enabled our delivery of solid results across the board, outperforming the guidance we announced at the beginning of the fiscal year and successfully managing market-wide supply constraints to deliver significant growth, a clear signal of our strength and differentiation globally. Our experienced and dedicated teams around the world leveraged our geographic footprint to procure additional volume from Africa and Asia to offset the weather-related crop productions in South America. By sourcing from these markets and shifting our customer mix, we seized opportunities for additional growth and profits and reinforced our competitive position. We delivered a strong fiscal 2025, during which our overall volume increased by 3% by sourcing additional inventory from Africa and Asia, growing our market share in certain geographies and accelerating the timing of shipments. We grew full year sales by 22% to $2.5 billion. We increased our annual gross profit by 10% to $343 million for fiscal 2025 compared to $312 million in fiscal 2024. We increased our operating income for the year by 12% to $153 million and achieved net income of $15 million compared to $3 million in the prior year. And our full year adjusted EBITDA reached $208 million, showing continued growth compared to $194 million in the prior year at an 18% compounded annual growth rate over the last 3 years. Our disciplined approach to managing working capital and strong demand position the business to accelerate our operating cycle by 38 days compared to fiscal 2024. This strong efficiency gain, combined with our growth in profits and a more normalized purchasing cadence in the fourth quarter, supported the generation of $152 million in adjusted free cash flow during the fiscal year. We continue to improve our capital structure through the repayment of long-term debt and the elimination of the associated interest expense. As we will detail later in the call, since the beginning of March 2024, we've reduced our long-term debt by approximately 25%. Beyond financial progress, fiscal 2025 was a milestone year with respect to our commitment to sustainability. Following an in-depth review and approval process, the science-based target initiative validated our company's near-term emission reduction targets. This validation reflects the consistency of our target with the goals established by the Paris Agreement and drives further alignment with our global customer base and other key stakeholders. In the third quarter, we released our annual sustainability report, sharing our 16% reduction of indirect emissions since fiscal year 2021. This is a testament to our engagement efforts with our contracted farmers to promote the adoption of Climate-Smart best practices. With approximately 1/3 of our employees focused on the agronomic side of our business, we have the unique ability to work hand-in-hand with our contracted farmers throughout the crop season. This approach allows for ongoing farmer training and supports crop quality and yield, which enhances our capability to manage risks, meet customer requirements and provide consistent product delivery. I'll reserve some additional comments for closing, but first, it's my pleasure to introduce Dustin Styons, Pyxus' Interim Chief Financial Officer. Dustin has been with the company for 20 years in a variety of leadership positions in finance, sales and business strategy. His deep institutional knowledge, combined with our shared strategic vision for the company's future, has allowed for a seamless transition, as we prepare for a strong fiscal 2026. Dustin?
Dustin L. Styons: Good morning, everyone. And Pieter, thank you for that introduction. Before I cover our financial performance for the year, I'd like to briefly share the success we had in the fourth quarter. We ended the fourth quarter with revenues up 25% to $502 million. Consistent with the full year, pricing was the key driver and was assisted by increased volume, which was driven by accelerating the timing of shipments. Fourth quarter gross profit grew to $67 million compared to $58 million in the prior year, and operating income more than doubled to $14 million compared to last year's $7 million. Net interest expense in the fourth quarter improved to $26 million compared to $30 million last year and was driven by the long-term debt reduction, acceleration of shipments and a more normalized purchasing cadence in South America. Turning to the full year, I'll briefly add some detail to Pieter's comments. Our full year sales growth of 22% reflects a 3% gain in volume and an 18% increase in sales price. The volume gains came from our strategic sourcing from Africa and Asia and the timing of shipments, which more than offset reduced volume from South America and enabled us to outperform market constraints to meet customer demand. For the full year, average gross profit per kilo increased to $0.84 from $0.78 in the prior year, as we strategically shifted to a more favorable customer mix and improved our product mix by capturing opportunities to expand certain value-added businesses that generally produce higher than average gross profit per kilo. SG&A increased to $171 million compared to $161 million in the prior year. This was driven by higher personnel costs, including a $4 million noncash equity-based compensation expense and increased variable bonus compensation. Excluding the noncash equity- based compensation, SG&A increased 4% compared to the prior year. Net income increased to $15 million for the year ended March 31, 2025, compared to $3 million for the prior year. We improved our adjusted EBITDA to $208 million compared to $194 million in fiscal year 2024. And as Pieter mentioned, we're pleased to deliver adjusted EBITDA that exceeded our initial guidance and is well within the increased guidance range we announced in February. We continue to focus on leverage reduction throughout the fiscal year, successfully retiring $65 million of senior debt, which was a continuation of our strategies in fiscal year 2024 when we retired $78 million. In total, we've retired $143 million of our senior debt since March 1, 2024. This reduction, combined with our disciplined working capital management and our improved profitability, reduced leverage from 4.8x to 3.7x, the lowest it's been in over 10 years. The long-term debt reduction also drove a $9 million decrease in interest expense related to our senior debt, but this was offset in fiscal year 2025 by an increase in the average and peak borrowings from our seasonal lines of credit, which were used to purchase more expensive inventory during the fiscal year to support our $449 million increase in sales. As a result, interest expense in fiscal year '25 was consistent with the prior year. Our interest coverage over the last 12 months improved to 1.6x, up from 1.5x in fiscal year 2024. Our credit profile and key metrics, including year-end leverage and interest coverage ratios, strengthened significantly in fiscal 2025. We remain focused on driving further improvements to these metrics over time and reducing our overall borrowing costs. Before I turn the call over to Pieter for his closing remarks, I'll provide our guidance for fiscal year 2026. For the full year, our guidance for sales is in the range of $2.3 billion to $2.5 billion. Our guidance for adjusted EBITDA is in the range of $205 million to $235 million, reflecting our continued focus to expand margin, as we capture volume-driven growth on higher crop sizes expected next year. We believe the company is well positioned to deliver these results, but we do anticipate sales during fiscal year 2026 to be weighted to the second half of the year. Given the dynamic trade environment, particularly related to tariffs, our guidance range reflects varying assumptions with respect to the extent that recently announced tariffs are implemented.
J. Pieter Sikkel: Thank you, Dustin. Fiscal year 2025 was another year of significant progress and success for our company. We navigated tremendously complex market dynamics with discipline, consistency and proactive execution. Most importantly, we've strengthened our credit profile, laying a solid foundation to build upon. As of March 31, 2025, we have only $8 million of uncommitted inventory, which is approximately 1% of our total inventory. Total inventory at year-end was $762 million compared to $932 million last year. This change shows our ability to meet customer demand by accelerating shipments as well as the impact of a more normalized purchasing cadence, particularly in South America. For fiscal 2026, we believe ongoing undersupplied conditions will shift to a more normalized level compared to the prior year, and market demand should remain strong and ready to absorb the emerging larger crops. Already, we are pleased to see larger crop sizes with reduced cost and improved quality in South America and parts of Africa, which we plan to use to replenish our inventory to build on our exceptional fiscal '25 and drive another year of volume, gross margin and EBITDA growth in fiscal '26. Thank you again for joining today's call. Operator, I believe we're now ready to take questions.
Operator: [Operator Instructions]. We'll take our first question from Patrick Fitzgerald with Baird.
Patrick John Fitzgerald: Could you provide a little bit more color on why you would expect sales to be weighted towards the second half of the year? Like what are you seeing that makes you think that that's how it's going to play out? And also do you expect EBITDA to be weighted to the second half of the year as well?
J. Pieter Sikkel: Thanks very much for the question. Yes, as you can see from the results in the past fiscal year, we ended the year with very low inventories and with the larger crops. We are replenishing those in the first half of the year. And as we purchase, commit, process and then ship, we see those shipments more weighted to the second half of the year. So that's really what's driving both volume growth for the year, but the second half weighting of this coming fiscal year. So volume and EBITDA are both driven with the same characteristics.
Patrick John Fitzgerald: Okay. So your guidance is for revenue down a little bit year-over-year at the midpoint and EBITDA up mid-single digits year-over- year, again, at the midpoint, what does that assume for full year volumes and kind of the pricing environment?
J. Pieter Sikkel: Well, it's kind of exactly as we anticipated for this year. We saw very elevated costs last year that were passed on to customers. And we anticipated with larger crop sizes that pricing would start to reduce this year on the larger crops. So we're really well positioned this year and that we're able to purchase tobacco is better according to its quality and transfer those prices to customers. So what we're seeing out of that, and it's really reflective of what's going on in Brazil right now, and we hope to see in crops around the rest of the world is that volumes will increase, gross margins will increase and that's really what's creating the difference between -- if you look at the guidance, that's really reflective of increased volumes, lower selling prices and higher margins that's coming together to create that guidance.
Patrick John Fitzgerald: Okay. So given your kind of lower-than-normal inventory balance at the end of the year, the fact that you'll have to invest in inventory this year, what's the -- what's your view on kind of free cash flow? Do you think -- you ended the year with a really nice lower net debt balance. Do you think you can sustain that or just kind of given your inventory purchases probably could expect higher -- maybe higher EBITDA, but also higher net debt at the end of next year? How are you thinking about that?
Dustin L. Styons: Patrick, this is Dustin. I think when we look at the end of this fiscal year, particularly related to the inventory cycles what we see as a more normalized purchasing pattern out of Brazil. Last year, we saw elevated purchases at very high cost because of El Nino. This year, we've really seen that reverse. So as we look for the remainder of the fiscal year, we will continue our disciplined working capital approach. And also, as Pieter mentioned, and it's reflected in our guidance and guidance ranges, improved profitability. And so I think, especially when we look at cash flow, working capital is seasonal, and we have had some benefits this year related to the reversal of some of the major events at the end of last year. We would expect that to continue to normalize. But what I would really focus on from the free cash flow perspective is that for this fiscal year end, we were cash generative before working capital changes. And I think that highlights our focus not only on the disciplined working capital management, but also the improved operating performance for the company.
Operator: [Operator Instructions]. We'll go next to Joseph von Meister with Intermarket.
Joseph Von Meister: I have a couple of quick questions. First one is maybe you could update us on what's happening with the Philip Morris International heat-not-burn product in the United States? And then the second question I had was, I noticed in your cash flow statement, there was no entry for the share repurchase that happened last August, and I'm wondering why that is?
J. Pieter Sikkel: Well, let me take the first one, and I'll let Dustin take the second part. I mean, obviously, we're not entirely privy to Philip Morris' plans for commercialization of IQOS in the United States. What I can say is we are obviously heavily involved in the supply chain for those products, which is an exciting business stream for us and really falls well within the strategies and tactics that we've had for a long time to make sure that the products that we supply can meet the reduced risk product requirements of next-generation products. So we're pleased with how that is going, and we see that as positive for our business. And obviously, we look forward to the full launch in the United States, but I don't have a date for you at this point in time. Dustin?
Dustin L. Styons: I think where you would see more clearly the repurchase of the stock is actually in the statement of stockholders' equity, as it relates to being in the cash flow that is captured in the cash flow, but is captured in some of the other segments that's not highlighted. So -- but it is very clear on the statement of shareholders' equity statement.
Joseph Von Meister: Maybe as a follow-up, with your improved credit metrics, what's your thinking on improving your capital structure, at least refinancing some of your high cost debt?
J. Pieter Sikkel: Joe, great question. I think that we're continuing to evaluate our strategic options. So no key updates related to any refinancing efforts at this time.
Operator: And at this time, there are no further questions. This does conclude the Q&A portion of today's call. I will now hand the call back to Mr. Grigera for closing remarks.
Tomas Grigera: Thank you, again, for joining our fiscal year 2025 fourth quarter and year-end call. We look forward to sharing future updates with you following the first quarter of fiscal year 2026.
Operator: This does conclude today's conference. We thank you for your participation.